Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining the Italgas Full Year 2025 Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Ms. Anna Maria Scaglia, Head of Investor Relations of Italgas. Please go ahead, madam.
Anna Scaglia: Hi. Good afternoon, and good morning to everyone, and thank you for joining us. I'm here with our CEO, Paolo Gallo; and our CFO, Gianfranco Amoroso, who will be running us through the presentation. I now pass the floor to our CEO.
Paolo Gallo: Good afternoon, everyone. It's truly a pleasure today to present to you the result of a historical year for Italgas. In fact, if -- and we are on Page 2. If you look what happened during 2025, you can understand that there has been an incredible year for the group, strategy implementation, execution, value creation in particular for our shareholders. Today, we will go through the main achievement that just to recall the major achievement we achieved in 2025. Let me start just recalling that on the April 1, we closed the acquisition of 2i Rete Gas well ahead of schedule in only 6 months from signing, we completed one of the most strategic transaction in the European gas industry, positioning Italgas as the largest operator in Italy, we were already the largest but also now in Europe. In June, we successfully launched and executed a EUR 1.02 billion capital increase with 100% finance subscription. This allowed us to strengthen our financial structure immediately few months after the acquisition. A month later, on July 1, we completed the integration of 2i Rete Gas into Italgas Reti from organizational redesign to IT migration without any significant problem from day 1, thanks to the extraordinary effort of all our people, both from Italgas and 2i Rete Gas. As you know, the antitrust oblige us to sell a number of redelivery points more than 600,000. We completed last year as of October, we received all the offer. The offer were only valid for less than 250 redelivery point. And as of today, so March 2, the first package has been already closed, generating nearly EUR 110 million in terms of revenues. Finally, in October last year, we presented a new strategic plan, which reflect not only our enlarged perimeter but also our record high investment and a clear path in numbers regarding synergies and efficiency. In short, 2025 has been a year in which we reshaped completely our group to capture the full potential of the energy transition as well as digital transformation and consolidated our leadership at the European level. If we move on just to give you the idea of the size of the group today, coupled with unparalleled expertise and innovation capability. We manage nearly 160,000 kilometers of gas network in Italy and in Greece with nearly 13 million customers. We also serve more than 6.3 million directly and indirectly customer in the water sector. This makes our infrastructure footprint, the largest by redelivery point and by far, the most advanced in Europe. We operate more than 4,000 concession, reflecting our position, unique position in the different territories where we operate. Our regulated asset base combined with the -- combining gas distribution and water activity has reached nearly EUR 16 billion. And finally, the scale is not only about size, but it's about capability and technology. And this reflects the strength of our people, 6,500 that now works together as a one group bringing the best of both Italgas and legacy organization into a unified innovation-driven platform. Let's move now into the Slide #4 that shows the results. Our operating performance was very strong in '25, benefiting from the consolidation, mainly benefiting from the consolidation of 2i Rete Gas starting from April 1. As you remember, last October, we raised our 2025 guidance, even if we raised today, we are showing our results that are even better than the expected numbers that we showed to you in October at EBITDA, EBIT and net debt level. Gas Distribution revenue in Italy grew thanks to the updated OpEx recovering previous GAAP, benefiting from RAB growth, thanks to the investment we made, and we will show you in a moment, the level of investment that we reached in 2025. Thanks to these 2 elements, we were able to offset even more the impact of the lower allowed WACC. To mention Greece and ESCo because both of them show a good progress during the period. We continue to deliver an OpEx reduction, as you can see, benefiting from the first contribution of the initial synergies from 2i Rete Gas integration. I think one number that is extremely significant is the level of synergies that we achieved in 2025 compared to 2023 cost 14% of the overall synergies that we target were already achieved in 2025, only in 9 months, not even on the full year. And in fact, if you look at the EBITDA margin, even in an enlarged perimeter, we were able to keep the same level of EBITDA margin that we experienced last year. EBIT recorded a robust nearly 14% increase, passing the EUR 1.2 billion. Net profit landed slightly above EUR 675 million, a record by level for the group. On the debt side, the net financial debt increased significantly as a result of the acquisition of 2i Rete Gas, consolidation of their debt, partially offset by the capital increase. Nevertheless, we were able to be below what we expected and what we announced during the October guidance. The result of that is that we are going to propose at the next general assembly, a dividend per share equal to EUR 0.432, an increase of 13.3% compared to the DPS we paid in 2024. Let me just take a look that is on the next page at the efficiency to give you more color and flavor about what we have already achieved in 2025, in the 9 months of 2025. First of all, the integration is fully in line with our plan. It's moving very fast. And we are fully confident that the target of EUR 250 million will be achieved. And in fact, in 9 months of 2025, we were able already to capture EUR 35 million of synergy that represents, as I said before, 14% of the overall target. This is a very strong and fast start and that's the reason why we are fully confident that the overall target will be reached in line and according to the profile time that we have showed to you last October. Let me just give you some flavor, especially about the last progress -- the progress we made in the last quarter. We completed the replacement. If you remember, we mentioned that 2i Rete Gas has already some in place some traditional meters. We completed the replacement of all the 2i Rete Gas traditional meter. We started to replace some of the gas reduction station with new digital ones, 50 former were already replaced. We bring inside, so we make a decision to bring inside all the emergency response activity as well as the laboratory testing activity for instrument calibration that 2i Rete Gas at the time was given to a third party. We renegotiated a number -- a significant number of third-party contracts in order to align all the KPIs, including the economic KPI, to our current contract, securing -- in that way, securing better terms and the efficiency. As far as the corporate concerned, we -- in the 9 months of 2025, we were able to close 24 offices. Four of them were closed in the last quarter of '25 as well as we were able to reduce the car fleet, optimizing the use of the cars for the operation. We renegotiated insurance policy, we renegotiated bank guarantee. But last but not least, we started to introduce digital and AI algorithm in order to increase our productivity. So scheduling tools was already impacted by AI algorithm that we develop in our digital factory. We introduced generative AI solution to automate meter reading workflow, and we launched a number of AI agents to support IT ticketing issue resolution. So even in the first 9 months, we were able to achieve a very ambitious target in terms of synergies as well as we were able already to start significantly AI implementation in our processes. And it is just the beginning. 2026, as you can see by the bar chart, is going to be challenging, but is going to be extremely positive in terms of synergies that will be achieved and the bar chart reflects our real numbers. Let me move to still some framework regulatory updates, what happened in 2025. I think it's important to recall we have already described in our conference call, but I want just to summarize them. First of all, in March, ARERA recovered the regulatory gaps for the period 2025, updating the allowed OpEx and X-factor following the ruling of the Council of State. In addition, the RAB deflator, if you remember, like we call it, was aligned to a different Italian indicator that is more coherent and predictable over the years. Another important element was the decision to extend the current regulatory period until the end of '27 while X-factor set at 0 for both '26 and '27, recognize that the previous efficiency were already given back in full to the end user. Extension was part of the ruling confirming the proposal to introduce the ROSS or if you want to call it, for gas distribution in '28. Finally, ARERA confirmed the allowed WACC for 2026 at 5.9% as the trigger mechanism was not activated. I think what is important to highlight that is common to all of these events is that someone may say, oh, it's favorable to the gas distribution sector. It is not true at all. That is the resulting of a strict and diligent application of the current regulation while the decision to postpone introduction of ROSS in gas DSO is totally understandable given the complexity and the peculiarity of the gas distribution sector. Just to complete the overview, I would like to talk about the Budget Law and the Energy Bill Decree and what is impacting -- how it is impacting Italgas. Regarding the first one, the Budget Law that was issued at the beginning of 2026. I think it's extremely important the measure regarding biomethane. First of all, the Budget Law introduced mandatory grid connection for the new biomethane plants, established new reverse flow regulation and even more important, revised the cost sharing between developers or producer of biomethane and the system we switch from an 80-20 to 30-70 in case of connection costs and to 0-100 in terms of metering. So now the system is bearing the 70% of connection cost, 100% of the metering cost and that will help, and we have already seen in terms of number of requests arriving, will help the biomethane development. And that is important, considering that biomethane is a green gas, is locally produced and it's going to be a significant part of the solution of the energy transition. This measure represents a clear signal of the renewed commitment by the Italian government to biomethane because, as I said, biomethane is extremely important in the energy transition future. The energy decree includes measure aimed to reduce gas bill for industrial user, limiting gas price volatility and narrowing the spread between the Italian PSV hub and the Northern European TTF. At the same time, introduced a temporary 2% increase for 2026 and '27 of the IRAP tax rate for energy companies. From an Italgas perspective, while temporary tax increases are limited and clearly the fine time horizon, then decree either Budget Law and Energy Bills Decree ultimately reinforce the role of gas infrastructure in the transition accelerates biomethane development and support affordability for both industrial and domestic use. Now is the time to get into more details about the number of 2025. So I will start from the revenues. As you all know, 2i Rete Gas was consolidated for 9 months, and the full integration with Italgas Reti started on July 1. And in fact, from July 1, it is practically impossible to split the contribution of 2i Rete Gas and the previous Italgas Reti in terms of revenues, but even more in terms of cost and all the other lines. So the representation just put together the contribution of 2i Rete Gas that is the main contributor, but also the growth of the gas distribution, the legacy, what we call the legacy of Italgas Reti and the Greece. So if we look at the overall results, revenues were up nearly by 40% in the period and the regulated gas distribution business in Italy and Greece increased by more than EUR 700 million, thanks to the 2i Rete Gas mainly, but also the investment we made last year in -- especially in -- on the -- we will see the investment in a moment and Greece. And then all the other components that I already mentioned about revaluation factor and allowed OpEx. This effect combined compensate more than the decline in regulatory WACC that represent an impact in respect of 2024 of nearly EUR 52 million. What is also important to notice is the 2025 also mark a turnaround year for the ESCo because the ESCo contributed to the majority of EUR 48 million. That is the last column that you see on the graph. So the 2025 was also for the ESCo a significant year in respect of 2024. If I look at the operating cost, the incremental cost in respect of last year is mainly driven by -- is explained by majority by the 2i Rete Gas and of course, the second line is the ESCo. We recorded a significant increase in the revenue. We also recorded an increase on the cost, but the margin it is significant because we passed the 15% EBITDA margin on the ESCo. On a like-for-like basis, operating costs declined by more than 5% equal to more than EUR 30 million only in the year 2024, thanks to the -- our focus on the operational efficiency but mainly driven by the early integration of 2i Rete Gas and the early integration synergies ramp up that I described before, and there has been -- that have seen an acceleration, especially in the last 2 quarters of the year.
Gianfranco Amoroso: Coming now to EBITDA. I'm on Slide 11. Adjusted EBITDA, you see reports an increase by almost 40%. The figure now reached EUR 1.883 billion, with a strong contribution coming from all the business. Having said that, gas distribution in Italy and Greece remains the main growth driver, supported by the consolidation of the new perimeter of 2i Rete Gas that has been added while the recovery of the energy efficiency segment contributed to strengthen the overall performance. On top of that, EBITDA margin remained broadly unchanged despite the change in mix and the lower WACC as described before, supported by strong operational execution and efficiency delivery. Now on Slide 12, we have adjusted EBIT. You see growth of about 46.9% compared to the previous year. And now we can have an EBIT that reached for the first time in the group history the level -- the record level of EUR 1.2 billion, largely driven by the EBITDA increase, only partially offset by higher D&A of about EUR 147 million. Regarding the D&A, the increase of D&A is mainly related to the consolidation of 2i Rete Gas that includes, of course, the PPA effects, investment carryout in the previous period, partially offset by the well-known positive impact of the end of the Rome concession. Strong performance achieved is reflected in the EBIT RAB ratio that exceeds now 8.4% on an adjusted basis. Now on the adjusted net profit. I'm on Slide 13. Adjusted net profit after minorities reached EUR 674.5 million with an increase of 33% versus last year. This was mainly driven by 2i Rete Gas acquisition contribution and by the solid operating performance. So you see higher EBIT contribution of -- for EBIT of EUR 385 million, partially offset by an increase of adjusted net financial expenses that now include, firstly, the cost of the debt related to the acquisition financing of 2i Rete Gas equities for the price paid, secondly, the cost of 2i Rete Gas consolidated debt and lastly, the interest charges related to the higher cost of new bonds that had been issued during the year. Then going forward, there is a lower -- marginally lower contribution coming from equity investments and higher adjusted taxes of EUR 103.6 million due to the higher taxable income and a tax rate of 28.4%, above last year level of 24.8% that in terms included the benefit of the patent-box. If we exclude the patent-box impact, tax rate is slightly higher, reflecting the different business mix of the company. Increasing minorities for EUR 3 million finally reflects the positive business performance.
Paolo Gallo: As I told you before, I would like to go through also the technical investment we did in 2025 that reflects the full year for Italgas and the 9 months for 2i Rete Gas. And we passed the EUR 1.2 billion technical investment. As you can see, that is fully in line with the guidance but still is a significant number in respect of the previous year. It's up to nearly 36%. Development and repurposing activity reached and passed the EUR 700 million while you can see the digitization continues to grow. That is thanks to 2, let me say, trends. One is that we have completed in the previous Italgas Reti digitization, still there's something going on always, but we are seeing already the increase due to the starting of the investment that we are making on the 2i Rete Gas network. And we will see this number going up also in the coming years. On the other that you see a significant increase in respect of last year, there is the investment -- the impact of 2i Rete Gas on centralized CapEx mainly linked to the IT system and the impact of the renewal of the car fleet, as you know. The long-term agreement on the car fleet is reflecting in the IFRS 16. In terms of physical investment, we laid down nearly 1,000 kilometers, 40% of that in Greece, and as I said before, we started to upgrade in digital, the legacy of 2i Rete Gas network. This investment effort continue to support our long-term strategic objective to make the full network, including 2i Rete Gas now is -- the focus is on 2i Rete Gas network, to make it fully digitized. Our RAB at the end of '25 reached EUR 15.7 billion, an increase of more than 54% due to 2i Rete Gas consolidation but also due to the investment that we made in the period. Let me take a look before giving back the floor to Gianfranco for the final analysis, let me take just a look about the ESG performance of the group. And as you can see on a like-for-like and year-for-year basis, net energy consumption was reduced by 6% in respect of 2024. Scope 1 and 2 emission supported primarily by lower gas leakage level were down by 3.8% despite we significantly increased the number of kilometers inspected. If you look at only the -- our gas leakage rate is 0.05%. You remember that when we started to measure the gas leakage rate was back in 2021, we were 0.1%. So we reduced by 50% the gas leakage rate over 4 years' time. That is thanks to the Picarro technology application and our continuous effort to reduce the time of intervention when we find a leakage. When we look at the social dimension of ESG to mention is the increase of number of training hours per employee. We have already reached the target that we set last year for 2030 -- 2 years ago for 2030. Gender gap is still not at the 2030 level, but is moving toward the target. And I think we are fully confident that we will reach the target as well as for women in role of responsibility. Finally, in terms of governance and external recognition, our ESG rating remains strong across all the major benchmark. You see below all the benchmark in which we are evaluated are either at the same level of last year, and the majority of them, we are above what we have achieved last year.
Gianfranco Amoroso: Cash flow on Page 16 is another record level data point, reaching now EUR 1.6 billion with a quite impressive EBITDA cash conversion of 86%. This important result is also due to the positive evolution of the net working capital in the year. This is mainly related to the super bonus impact, the residual one and in addition, the new contracts signed during the year and some other component linked to the business seasonality of the gas distribution and some other also positive cash component paid by the regulator by ARERA. So this amount allowed us to entirely cover the net cash investment of EUR 1.1 billion as well as the dividend paid in May of EUR 349 million, including the minorities. So if you take out from the picture the amounts linked to the acquisition, we can affirm that the level of the debt remained broadly flat. The 2 components linked to the acquisition are basically the EUR 4.1 billion for the price paid for the acquisition of 2i Rete Gas of EUR 2 billion, and the net financial debt consolidated of EUR 3.1 billion, net of the capital increase proceeds of EUR 1.02 billion. Going to the net debt structure, you have more or less the same picture but on a enlarged basis. So the net debt at the year-end reached the amount of EUR 10.734 billion with an increase of around EUR 4 billion compared to the previous exercise. The average cost of debt is around 2% for '25 and the structure is 80% fixed rate, 20% floating. You can appreciate also from the chart below that the floating component now include also some bank loans that has been executing during the year for some refinancing of certain maturities. The -- on the right side, you have also the maturity profile, starting from '26 going forward that now have the contribution of the, let's say, legacy bonds of 2i Rete Gas in addition to our bonds issued.
Paolo Gallo: Let me close this presentation with Page 18 and talking about shareholder returns. As we know, we have looked over the years to provide to our shareholders an attractive and visible return in terms of dividends coupled with the benefit from the growth that we were able to deliver throughout the years. In 2025, with the big acquisition of 2i Rete Gas demonstrate again the validity of this principle. Last -- yesterday, Board of Director of Italgas decided to propose a DPS of EUR 0.432 equivalent to the 65% payout. Again, so we confirm that principle. And once again, higher than the 5% annual increase floor that we declared in our policy. Just to remind you, we have never used in all the years the floor. We have been always above the floor. And if we look at the increase of this year, increase has been 13.3%. That is the result of the correction of the dividends we paid last year with the factor that is issued by the Borsa Italiana to take into account increased capital. But let me make 2 comments on that. Even if you look at the absolute number without correcting that, if you just take the dividends that we pay for share last year and the dividend that we are going to pay this year, the growth is still above 5%, 6.4%. I would like to remind you that the more than 200 million shares that we issued last year were issued in June. And these new shareholders or new share will take full benefit of the result of 2025, even though they have been issued only for 6 months. So you can make the math and see which is the growth, the real growth for the new shareholders that entered in June with the capital increase, and you will see that is a very huge number. Again, I would like to thank you for being here at the presentation, and we are now open for the questions you may have on this presentation. Thank you.
Operator: [Operator Instructions] The first questions from Aleksandra Arsova, Equita.
Aleksandra Arsova: Thank you for the comprehensive presentation. Three questions on my end. The first one is on the clarification on Slide 5 on synergies you expect for 2026. As you mentioned, if the bar chart is represented correctly, I read it as at least EUR 100 million in synergies expected for last year -- for next year. So if you could confirm this. And if this could lead actually to double-digit growth again in 2026 of both EBITDA and on the bottom line, so net income. The second one is on the regulatory framework on the concession for gas distribution in Italy. Also in previous occasions, we spoke about the fact that the government was thinking of some changes to the concession framework. So how this, let's say, procedure is going on? And if you think that the current situation in the Middle East, and the potential new energy crisis we may have, if this could move to the background, these potential changes to the framework? And the last one, again, on gas tenders. If I remember correctly, a few months ago, you mentioned that you submitted 5 -- proposal for 5 tenders covering 600,000 redelivery points. So are you expecting the outcome? You already received some outcomes? So just a check on this.
Paolo Gallo: Okay. Regarding the synergies, I told you the bar chart is correct. So you need to make a better, let me say, calculation because 2026, we expect to pass the 50% of the overall synergies. So it's more than EUR 100 million like you mentioned. So we expect to be about 50% of the overall synergies. So make your math 250 divided by 2. That is what we expect. Regarding what is going to happen for the EBITDA and the net income for 2026, you should be a little bit patient and wait for our plan, a new strategic plan that will be presented in June. And by that time, we should release the guidance. Eventually, we are discussing if we need -- because it's going to be the end of June, maybe we can release the guidance probably with the first quarter result of 2026, so by early May. So that is what we think about. We will see but we will not release a guidance before that time. Regarding the tenders, let me say that what we have seen in the last months of last year, a significant number of tenders coming up. So there are -- I don't know which one you are referring to, the one that you mentioned. But what we can tell you is that there has been a number of -- a couple of tenders that has been already closed and assigned to us . There are other 5 that are under in the period of, let me say, results. So they have been -- we already submitted the offer. The offer has been evaluated. We are just waiting for the final word for which we expect all of 5 to be assigned to us. That is our expectation based on the results that were shown by the commission. And then there are another 7 that should be that -- for which we expect to submit the offer between, let me say, May and September. That is based on the picture that we have today. So overall, if you look at the overall picture, we have seen a significant movement in the tenders, even without any change in the law. So hopefully, this movement will continue. So we should -- we hopefully will see some other tenders coming up in 2026. But numbers are -- so 5 they will be assigned and they will be closed very soon. Another 3 -- now is -- another 7 that will see the submission of the offer. Then I think it's a number that is changing a little bit the picture of the tender, more promising for an acceleration on the tender itself, even without the change in the law.
Operator: Next question is from Julius Nickelsen of Bank of America.
Julius Nickelsen: Thanks for the presentation. Just 2 from my side. The first, a follow-up on what you just said on the tenders. Is it then fair to say with the 5 that are basically imminent and the 7 that you expect that this is quite a bit better than what you expected at the strategic plan? Because if I look at that old chart there, 2026 still looks quite low at least in that -- those assumptions. And then the other one is just on the cost efficiencies, the 5.2% that you flagged. I assume a big part from that is like in Italy, but could you also split out how the cost efficiencies in Greece and Water are going, that would be quite useful.
Paolo Gallo: Okay. On the first one, I think the answer to you is that the tenders progress is probably slightly better than what we had planned last October. We were surprised by the number. Honestly, we are surprised by the number of tenders coming up. So if I have to say, the tenders are better than the plan. So we may see some acceleration in respect of the tender that we will probably see in the next strategic plan. So we will include in the next strategic plan. Probably, it will be the first time in which we see an acceleration and not a delay in the tender progress. Regarding cost efficiency, the cost efficiency, it is, I would probably say, mainly for gas distribution. So there is even it's a small contribution from Greece. Remember that the Water, the consolidation perimeter is very limited. Even though we present the Water sector as the overall -- remember that in Acqualatina and Siciliacque, we don't consolidate the numbers. So you don't see -- we may saving also there in terms of cost savings, no doubt about that. But you don't see that in our operating expenses because they are not in the perimeter of consolidation. So let me say, the cost saving on a like-for-like basis is coming from the gas distribution, mainly Italy and also a small contribution coming from Greece.
Operator: The next question is from James Brand, Deutsche Bank.
James Brand: I just had one question, and that was around your expectations for anything coming up on the regulatory side. Obviously, there's kind of the whole debate around TOTEX and when that comes in and what form. I think for you, that's the only thing that we're kind of expecting this year? If that's the case, kind of do you have any expectations for rough timing around that? And if there are other things that we should be looking out for, what are they?
Paolo Gallo: As I told you, the regulator said that the TOTEX, the raw system will took place in a simplified version, starting from January 1, 2028. We have not seen up to now any consultation document. So we expect probably first consultation document to happen in the second half of the year. So what I can tell you is that we are absolutely confident that the ROSS system will help let us be more -- even more flexible and be able to capture all the industrial opportunity we have to switch from CapEx to OpEx and vice versa that today we cannot do it because they are completely separating one to the other. So we are waiting to see consultation document to better understanding how the regulator would like to shape the ROSS in the simplified version. But as soon as the consultation document will be issued, we will report to you in more detail what we think about the picture that the regulator will start to envisage.
Operator: The next question is from Javier Suarez from Mediobanca.
Javier Suarez Hernandez: The first one is on the rationale for updating the market again with the business plan presentation in June. I think that your business plan presentation was by the end of October. So it's less than a year that you are going to update the business plan. So I wanted to have your statement on the rationale for that. Is that linked for to what you see as an acceleration on AI implementation and digital transformation of the company? And therefore, you are seeing that acceleration as something instrumental to update the market. And also, I guess the comment that you make, the acceleration on the gas and distribution tendering process would be another factor that explain that rationale for updating the market on the business plan so quickly. That would be the first question. The second question is on the government decision to increase IRAP taxation for the next 2 years. The reason is that if you could consider as a fair assumption that from 2028 that additional taxation should be part of the new regulation given the IRAP taxes regulatory framework in Italy. And then third question, I'm interesting to see your latest views on the operational improvement in Greece, how that operational improvement is comparing with what you are doing with 2i Rete Gas in Italy and also the evolution of the ESCo business that you are seeing as we speak.
Paolo Gallo: The first answer is very simple. If you remember, we always updated the strategic plan in June, considering that is a nice period in which we have time to share with our shareholders and stakeholders, our view and the vision on the future. So we are going back to this, let me say, habit. Considering that when if you remember, when last October, we presented the strategic plan, we also at the time presented the 9 months result. So it was a little bit a mix of the 2. So our habit has been since the beginning, if you remember since 2017, to present strategic plan in June. So we want to go back. And there is also, if you want another reason why -- that is the main reason. The other reason is that by June, we will probably report a better, let me say, advance of the synergies because at the time, it will be more than 1 year. And therefore, we can say, okay, 1 year has passed by since the acquisition of 2i Rete Gas, we can mark the line and say where we are. So the main reason is the first one. The second is, let me say, a collateral one, if you want, a by-product one, if you want. Still the main reason is we want to go back to our habits to present our view and the vision of the future in June when there are no other, let me say, reports from us in terms of results that will either make the result itself less interesting because everybody will look at the strategic plan or vice versa. So we want to have a proper time in which strategic plan will be the only element, the only document that the analysts will consider. On the second one, I think what if the taxation will continue or will be part of the new regulation. Always remember that when the regulator will consider the -- will recalculate the WACC, we have to assume a level of tax rate. So if IRAP will remain inside, there will be a different tax rate that will be used for the WACC. So honestly, I don't see that problem significantly. If we look at the EBITDA margin. I think that regarding Greece, I always told you that we have an ambition about Greece. Ambition is to bring Greece as close as possible to the Italian, will never be as close because it's not -- does not have the economy or scale that we have in Italy. But I can tell you that today, Greece is 73.5% in respect to our 75% of the -- in term of EBITDA margin. So I think that is quite significant. So Greece is closing the gap very, very quickly, and we are very happy about the operation. And I think that is -- last, on the ESCo side. You remember '24 has been a terrible year for ESCo. Remember that I told you and to the others that we will -- '24 will be terrible, and that has been terrible, but that was the foundation for a new cycle of the energy efficiency. And I think the numbers that we were be able to achieve in '25 is the starting point of a significant turnaround. Because if you look at the EBITDA contribution of ESCo, we passed the 15% in 2025. So it's -- even though the absolute number has not -- is not huge, but still, it's an incredible turnaround that we were able to make in 12 months, 2024, and we have started to see the results in 2025. And they are extremely -- I'm extremely happy about such a result, demonstrating that there is room for the energy efficiency, there is room to do activity on the energy efficiency, maintaining a high profitability margin above 15%, and that is not our goal. Our goal is to reach 18%. So there's still room, there's still growth to be done, but we are -- we moved from less than 9% last year as an EBITDA margin to more than 15%. So the step forward, the increase has been significant and we are very happy about that.
Operator: The next question is from Christabel Kelly, UBS.
Christabel Kelly: Yes, one question regarding Greece. This year were in the last year for the current regulatory period. When should we expect the 2027 allowed WACC to be confirmed, please?
Paolo Gallo: I think you are right. This year is the last year, and then we will see the next 4 years regulatory cycle. We will start discussion with the Greek regulator immediately after summertime when we are going to present the new development plan. So I'm going back to the Mediobanca request, why we -- there is another reason why that I forget, having the strategic plan in June is because the numbers will help us also to give the same investment plan to the regulator in Greece that is normally requested in the month of September. So it's fully aligned with that. So I forgot about that. So we are going to present the new development plan to the Greek regulator as well as the tariff as well as a proposal for the new WACC that, of course, will take into consideration all the difference in terms of framework, in terms of economic framework that we will have in Greece. So we will start discussion I imagine around September time. So development plan, that is the investment plan that is important as well as tariff as well, of course, inside the tariff, the WACC proposal. And then by year-end, we should have approval of the investment plan, approval of the WACC, approval of the tariff for the next 4 years.
Operator: The next question is from Alberto de Antonio of BNP Paribas Exane.
Alberto de Antonio Gardeta: My first question will be a follow-up on Greece. Maybe if you could disclose a few additional numbers regarding revenues, CapEx and RAB by the end of fiscal year 2025. The second question will be a follow-up on tenders. You mentioned that there's -- there are 5 tenders to be assigned in the next few months. I was wondering how many of them -- of those are already managed by you? And what will be the incremental RAB if you win all of them? And another question will be a follow-up on the TOTEX regulation. You have mentioned that you are expecting a simplified version of the ROSS based regulation. This means a simplified version versus the regulation that ones have . And finally, and I know that you don't bear any commodity risk, but I would like to know your views about the current situation regarding gas supply in Italy and if you foresee any potential physical risk of not receiving enough gas to cope with demand in Italy due to the current geopolitical situation.
Paolo Gallo: I will give you some number about Greece. Revenues are around EUR 190 million. EBITDA, as I told you, is 73.5% is about EUR 140 million. And the RAB at the end of '25 is EUR 910 million. We invested in 2025 around EUR 130 million. Those are the big picture of Greece. Regarding the tenders, I don't remember which was the question. So maybe you can help me? Can you repeat the question on the tender because I forgot? I just...
Alberto de Antonio Gardeta: Yes, you mentioned that you have like 5 tenders to be assigned. And I was wondering how many of them are you already managing. And if you finally received the 5 tenders, what will be the incremental RAB that you will win from them?
Paolo Gallo: Yes. We are present in all of them. So part of the -- let me say, with the new assignment, we are already about 80% of them. So part of the new RAB will come from 20%, and we are talking about EUR 70 million of RAB, EUR 70 million, EUR 80 million of RAB. Third question on the ROSS side, it's always difficult to say. What I'm saying is what the regulator has told, has said that they want to apply a simplified ROSS base to few operators and between the few -- among the few operators, there is by definition, Italgas. So -- but except that, it's difficult to say any other words. You mentioned but they have been in the ROSS discussion since, I think, at least a couple of years. So it's difficult to compare what is going to happen also because on their situation, they are the only one operator. So there is no other one, not only, but also the regulation is slightly different even at the beginning. So they had always to be -- to receive approval for their investment plan while we don't have that situation. The ROSS will involve some sort of approvement of investment plan, combined with the cost. So today, it's difficult to give you more details than we know. We can guess what is going to happen. What I told you already is that we think that the ROSS will let -- give us more freedom from an industrial perspective to do in a simplified world make or buy, cost, OpEx or CapEx. So to me, that's an important flexibility elements that will improve our ability to be even more efficient because we can switch from one to another in a framework that contain both what is called slow money and fast money. On the last question that is very general, let me say that we have faced in 2022 a very big crisis about what happened in Russia and the invasion of Russia -- the invasion by the Russian of Ukraine and the crisis relevant to the gas supply. I think we were able, thanks to the gas infrastructure managed by Snam and ENI, to manage that in a very effective way. And I think today, the situation may look critical, but I think we have learned as a system how to react to such a situation for which I'm very confident that we will be able to manage also this situation.
Operator: The next question is from Davide Candela, Intesa Sanpaolo.
Davide Candela: I have 2. The first one is regarding the WACC regulated in Italy. If you provide -- if you can provide us your latest assessment on the mark-to-market basis for 2027 WACC. And within that, if you can update us regarding the potential talks still on the formula regarding the fact that the -- for the calculation of the country's premium you have the spread in between Italy and in which France is not there anymore. So an update on that and if there would be updates from the watchdog in the next months? And second question as regards the ESCo but on the working capital you built after the super bonus, if you just recall us, how much of the receivables you are yet to be -- are yet to be collected after 2025?
Paolo Gallo: On the first question is, I mean, the observation period started October, so October, November, December, January and February, 5 months, 5 out of 12. Well, if you go to any, I think, Bloomberg and stuff like that, you can have the mark-to-market. It is significant. It may give you some idea, yes and no. Because in the next 7 months, everything can change. . So honestly, I don't even know which is the mark-to-market. So I will tell you very frankly, but I think it's not relevant today to look at the mark-to-market today also because in this day is a lot of fluctuation. Regarding the country premium, so the discussion about which are the countries that has to be included in a panel in order to face -- to make the comparison. I think we are still at what we said, and I think it has been already used. France should not be included. Remember that last year discussion is that the change from the country risk premium up and during -- after the observation period, honestly. So they have applied strictly the rule. So applying strictly the rule, we expect that this time, France will not be part of the panel anymore. It's not a country that has the rating to be included in the panel. So that is our interpretation. Was applied last year correctly because what happened in France was after September 30, and therefore, should not have been used for which they have included France in the panel. Next time, France should not be in the panel because they are -- they don't have the characteristic to be included in the panel. I think that is what is going to happen. 7 months from now, well, many things may change. Honestly, I think it is too early to say what may happen to the WACC.
Gianfranco Amoroso: On the tax credit for the energy efficiency, we have in front of us a couple of years, so '26 and '27 in which we will have the benefit of the receivable generated in the past years, so '22, '23. And in addition, the new one, '24 and '25. And the amount will average around [ EUR 160 million and EUR 130 million]. Then afterwards, there will be a significant scale down because for the time being, we do not have any other receivable provided that there will be maybe some further receivables, some other projects coming this year and next year. But the picture now is the one that I provided to you.
Operator: The next question is from Walker-Hunt, Citi.
Ella Walker-Hunt: Just 1 quick question for me, if that's okay. I was wondering, do you think there is a risk about the 2% extra IRAP tax could be extended past 2027?
Paolo Gallo: We don't see that risk. I mean the law is what it says, but then the law can be changed, but we don't see that risk right now. But as I told you the way in which the WACC is calculated should consider that difference in tax rate sooner or later.
Operator: The next question is from Tommaso Marabini at Banca Akros.
Tommaso Marabini: I wanted to ask you 2 questions. One is related to the tax rate that you see for the year 2026 to 2028 considering the 2% IRAP tax increase? The second question would be on the synergies again. You targeted of the EUR 250 million to 2031 in 2026. Do you already have some visibility on what is going to happen in the years 2027 to 2031? Is it going to be 2027 again a peak year? Or is it going to be distributed evenly in the rest of the years?
Paolo Gallo: The impact of the increase of the tax rate IRAP is more or less 2% on the overall. Regarding the synergies, synergy, there is a big ramp up in '26. Then of course, I think we are going to have, if I remember well, 80% by 2028. So '26 will be very strong, '27 will continue to grow the overall amount and '28. So -- but the peak year will be this year and then the additional amount will be, of course, lower. So that '26 would be probably the peak year in terms of absolute number. But then, of course, '27 will be higher than '26 because that will account for what we have already achieved in '26 will be translated in '27 but the additional amount is not what you will see from '26 in respect to '25. But if you go to the Page 19 of our plan presentation, you have exactly the ramping up of the EUR 250 million synergies. What I can tell you that in '27, we will start seeing a significant number coming from AI. To me, is also an important element. And then in Page 20 and 21 of the strategic plan, you will have also some details about that. Some of them I have already mentioned before when I presented the synergy.
Operator: [Operator Instructions] Ladies and gentlemen, Ms. Scaglia, there are no more questions registered at this time. I turn the conference back to you for any closing remarks.
Anna Scaglia: Thank you very much. And for anyone that has got any follow-up, please reach out the Investor Relations team. Thank you.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.